Dan Jaffee: So those are the teammates who moved into senior roles during the year. I would now like to turn it over to Susan Kreh, our Chief Financial Officer and Chief Information Officer. And this came through in one of the comments, but I would like to highlight it here. She is also the CFO of the Year for Chicago for Midcap Public Companies, a very exciting event, and as she always says, it is recognition of the whole team and her leadership there. But we are very proud to have Susan be that recipient and be our leader. So, Susan, you are up.
Susan Kreh: Thanks, Dan. And it is the whole team, and these financial results also reflect the strategy execution and the efforts of the whole team. So Dan, feel free to jump in and add color. I am going to just go over a few highlights, then we will go through a bunch of bar charts that show a really nice trajectory as we continue to benefit from the execution of the strategies that we have laid out for you. So the highlights include continuing to set records in terms of net sales, gross profit, and net income. We did so in fiscal 2023, in fiscal 2024, and the first quarter of fiscal 2025, which we released after the close of the market on Monday, continues to show strong results. We also, during fiscal 2024, completed the largest acquisition in Oil-Dri's history with the acquisition of Ultra Pet Company, and you will get to hear some more about that when Chris Lamson goes through the business update. Very exciting. And speaking of other exciting business initiatives, Bruce Patsey will walk us through the significant growth in fluids purification, where we definitely have a tailwind from the renewable diesel business. And part of all the success is sharing it with you as the shareholders. So we did double our dividend increase from $0.04 per share to $0.08 per share, and that is prior to the stock split. We will talk about the stock split a little later. In order to keep some capacity in case there are any other opportunistic acquisitions for us, we actually upsized our revolving credit to make sure that if something comes up, we are ready to go. We also integrated the Ultra Pet acquisition into our ERP during the quarter. We made that cutover on October first, and the integration is going very, very well. So lots of good news coming out of Oil-Dri. Now if we take a look at some of our principal products, we will start here with the retail and wholesale. You can see the growth in the capital business. You see a nice trend there. And if we take a look over at fluid or at the B2B side, I do want to point out the growth in fluids purification because one of the things you may have noticed in the first quarter with the strong gross profit performance is that this is a high-value-added business. So as this becomes a bigger part of our portfolio, we see the upswing in gross profit, and that is certainly part of the strategy, and Bruce and his team are executing well. The other thing I would point out on this slide, because it also helped drive first-quarter performance, is in agriculture and horticultural products. You see that the growth has been, well, let me say that last year, our customers built inventory two years ago, and they still had some to work through last year. So you see the movement from 2022 to 2023 up significantly and a little drawback in fiscal 2024. As we moved into the first quarter of fiscal 2025, it seems they have worked through those inventories, and that business is back, it is strong, and it is growing. It is also a high-value-added business, so also contributing to the performance improvement in gross profit in the first quarter.
Dan Jaffee: Susan, go back. I would add one thing on the animal health side, which was a year ago in the first quarter of fiscal 2023, we made the decision to no longer be a direct entity into China but work through a distributor, and we transferred all that inventory over to that party. They are doing great, and they are working it out, but that transfer occurred a year ago in the first quarter, and it really had nothing to do with the first quarter per se. Maybe a quarter of it did, but not the whole thing. And so I can just tell you that the animal health and nutrition division did, the way I look at it, like same-store sales like they do in retail, had a very strong first quarter. It was great.
Susan Kreh: Absolutely. Alright. So there you see the nice five-year trend. And as we continue on, you see the strong net sales, record net sales here in the first quarter of 2025. You will get to hear more about those stories when Chris and Bruce share their business updates. What was driving it? Well, you see the pricing, but there is also significance in that. So actually, volume was down a bit, and this is the year-over-year from 2023 to 2024. We pointed to the agricultural a minute ago. And then you see the uptick from the successful acquisition of Ultra Pet, which occurred on May first. So we do not have a full year fiscal 2024, but we will have that in fiscal 2025. That continues to do well. So this is one of my favorite slides to talk about, and it is the tons sold. You can see that they have peaked in the last five years in this fiscal 2022. And that is in line with when we really started talking about something inside Oil-Dri called Mindy Ball. So it is Moneyball from Mining Company. And really focusing on products that add value and actually peeling some of the things out of the portfolio that are not profitable. And you see the volumes moving down, but you saw the results. Right? So tons sold going down over that period of time. And net sales per ton going up. So that is the focus on improving the mix, and you see that that continues into fiscal 2025. Where our net sales per ton have risen to $594 per ton. Again, that is being influenced not only by the focus on, we talked a minute ago about the strong first quarter in agricultural products and the strong first quarter in fluids purification, but also the focus over in the cat litter business as well. So lots of good stories, and they have all been part of the strategies that we have been sharing with you. And you see that falling through to gross profit per ton doing very, very well, not only the improvement in mix, the additional sales in our high-value-added products, but we also had a strong, and we will bring in the first quarter, we also had a very strong quarter here in Q1 because the volumes were very high in our plants. And then we end up realizing production efficiencies based on those high volumes. So a lot of things going very well for Oil-Dri during the first quarter, which then see the improvement in the gross margin.
Dan Jaffee: Hey, and Susan, dovetailing on that, I hope everyone had the chance to read my President's letter in the annual report. If not, I encourage you to do so because I highlight exactly what Susan was talking about, which is our supply chain, which really helped us deliver. You know, we sell a daily reusable. So when we put on an account, if we do it well, if the product is in spec, on time, invoiced correctly, the quality is there, services there, they reward us with another order. And you can see they are continually rewarding us because we take that part of our business very seriously. So much so that our global sales meeting, where we have almost two hundred teammates there, only about forty of them are direct salespeople or direct customer contact. But the other one sixty are in the supply chain, and we actually give out sales awards to our supply chain because these people helped us get those repeat orders. So we always say the first order is the sales team, but two through infinity is the supply chain, and they are really working well together. So it is a hats off to the entire team there.
Susan Kreh: Yeah. Great. So we see the benefit flowing through to net income. I like this chart. The earnings before interest, taxes, depreciation, and amortization tells a really good story for Oil-Dri coming out of the time period when we have really been focusing on Mindy Ball. And you see another strong measure here for the first quarter. This is a non-GAAP measure. So for those of you who love the details, we have put the reconciliation back to the GAAP financial statement measurements in the appendix for you. And earnings per common share, you see the continued growth in strong performance there as well. And I do want to make a comment that I have made publicly before, but it is very important for the investment community. Look, I have been at the president. This is now my thirtieth year, which is ridiculous. So I was the president in 2020 and 2021 and 2022 when things were going south. And happened to be the president too in 2023 and 2024 came. The big difference is the team. It really is. I have not changed that much. But we have, you know, we have implemented SNOP. We have integrated business planning, we have forecasting, the team works together very well to make sure that we meet or exceed our customers' expectations. And you are seeing it in the numbers. So this is just my time to thank the team and let the investors know that is really what is driving the results here. It is our global team of almost a thousand people pulling together and playing Mindy Ball and delivering value every day.
Susan Kreh: We definitely are seeing the benefit of that, and so are the shareholders. Speaking of benefit, and we continue to focus on our dividends.
Dan Jaffee: And twenty-two, twenty-one years in a row of increases. Did I steal your thunder?
Susan Kreh: No. No. I just love it when you do the color.
Susan Kreh: Oh, okay. Another look at the business, and this is really the capital allocation and how do we think about it. Note that in fiscal 2024, there was a significant investment, as we have mentioned, in an acquisition. That we funded partially in cash, partially in debt that had a variable rate, and partially in debt that had a fixed rate. And we will talk about that in just a minute. So you see the debt going up, and yes, we took on twenty million dollars in debt to help fund that, and the rest had come out of, and here is a good story. Our first quarter was very, very strong, as we have talked about, and we were able to pay down five million of the variable rate debt that we used to fund that acquisition. That was one of our uses of cash here in the first quarter. And so we can take a look at net debt and free cash flow. These are all related, but still very, very strong. And we have a lot of ability to fund our capital. I believe Aaron has a slide in his deck, ping him up a little bit, that shows that as our business has grown, we continue to use cash to support that growth and replace aged infrastructure. And, obviously, with the performance of the business, we can do that easily here. Share price, this one is already outdated. Right? The share price was, I think, about eighty dollars at the close of March. Eighty-four forty-nine right now. Yeah. So good market acceptance of our first-quarter results. And part of that comes with that is we are no longer considered a small reporting company for SEC purposes, which means there you will see more disclosures in our filings going forward. Both our 10-Qs, our 10-Ks, and our proxy. So that is a good one. And then I will just close with a few things here. You guys can read, but we do continue to invest in our manufacturing infrastructure. As well as make investments to help improve cost and operational efficiencies. We are seeing the synergies that we expected begin to unlock the Ultra Pet acquisition. And Dan mentioned earlier, and Tony, of course, read that both, we will have implemented a two-for-one stock split. Record date will be December twentieth, and we will trade on a post-split basis beginning January sixth. And thank your shareholders for supporting that because, as we mentioned, the B-side, we all voted for that was going to happen. The common side voted independently and came in overwhelmingly in favor of the split. So thank you for supporting that initiative.
Susan Kreh: And with that, I am going to turn it over to Aaron Christensen, our Vice President of Operations.
Aaron Christensen: Thank you, Susan. That is going to be a very tough act to follow. And thank you, Dan, for some kind words of recognition in advance. I am Aaron Christensen, the VP of Operations here at Oil-Dri. I have the pleasure of getting to lead our supply chain and operations functions. Today, I am going to spend some time discussing our strong service results here at Oil-Dri, as well as revisiting our ongoing capital investments in our infrastructure. At Oil-Dri, our mindset regarding customer service is stated very clearly in our lessons learned doc. Great customer service leads to customer loyalty. Strong service results, or what I would consider world-class service results and performance, have become a part of who we are and what we all strive for every day. It is a foundation for everything that we do in the supply chain and often is the motivating factor to drive operating performance improvement. What does strong service mean? How do we measure service results? I will reference two primary common industry metrics, those being case fill rate percentage and on-time arrival percentage. Case fill rate is a measure of pallets shipped relative to pallets ordered. Order on-time is a measure of the percent of orders that arrive on time. We commonly have a twenty-four to forty-hour window for orders to arrive. Being early, late, or missed entirely negatively impacts this measure. So how does Oil-Dri measure up against industry and what do our customers expect? Let us see. Over the past ten quarters, Oil-Dri has exceeded the highest customer expectation of ninety-eight percent fill rate. And we are now regularly performing at ninety-nine point seven percent. An aside here, that high-level fill rate brings freight cost compression, improves cost structure with customers, and, as Dan alluded to, puts us in a strong position to get repeat business with customers and consumers. That means that across the many thousands of items that we sell, we miss only one in every three hundred pallets ordered. For on-time percentage, Oil-Dri is now operating above ninety percent for seven quarters in a row, exceeding our most demanding customer requirements consistently. Industry averages vary by category but are commonly reported to be in the high eighties. Oil-Dri has consistently performed above market as we have risen out of the post-pandemic global supply chain challenges. Many of you may be asking, how has this been achieved, and can it be sustained? Strong service performance is a result of careful planning and execution. It is not an accident. I will reference some things that both Dan and Susan talked about earlier. It starts with a strong forecast and planning approach. Dan alluded to investment in SNOP, our modernized ERP tool many years ago. I need to give credit to our commercial organizations that are committed to delivering improved forecasting, which allows the supply chain to have a better and more consistent plan to execute against. Earlier, Susan referenced the use of cash over the past few years and the additional working capital. Deliberate and thoughtful application of inventory of finished goods and materials is also a piece of the puzzle. The right inventory at the right time supports our service results. Strategic deployment of CapEx to improve operating performance and improve reliability also contributed to these results. Possibly, most importantly, the right attitude of our team makes all the difference. Let us pivot and spend a few minutes revisiting capital expenses, as Susan presented earlier. A reminder that Oil-Dri is committed to a sustained approach to reinvest back into our infrastructure. Fiscal 2024 continued that commitment, and we expect to stay diligent in fiscal 2025 and beyond. These investments are very broad in nature: savings, capacity, flexibility, infrastructure, safety, and environmental. I will share a few examples here shortly. Our facilities and our mines are past, present, and future. We are committed to treating them as such. Our outlook for the future is always our priority. I will quickly revisit an investment I have spoken about for several years. The timing of this could not possibly be more fortuitous. We are starting up at ten AM Central Standard Time on this investment. Literally, right now, my watch says ten o'clock. That is what was reported to me this morning. Kind of fun to get to talk to that live with our investors about. This investment has been in planning for several years and provides flexibility and capacity for our traditional absorbent products, which serve as carriers sold through business-to-business channels. This also serves as a major overhaul and modernization of one of our most complex mill operations, providing for a modern work environment for our teammates. I plan to get a live update later today, and we have a team of engineers and operating professionals who have been hard at work and planning for several years and in major construction over the last several weeks. In a brief minute, you will hear from Bruce Patsey, the General Manager of our Fluids Purification business. Earlier, Susan showed you the multi-year both sales and net income trajectory for Bruce's business. Over the past several years, we have completed a series of investments to address constraints in the operation and support Bruce's piece of commercial business. This round of work was completed this past summer and is now fully operational. It is important to take a moment to remind the audience that not everything we spend capital on is exciting. Several of our plants are in the midst of a major overhaul of our power distribution infrastructure. Stable power in a plant is analogous to a healthy heart for the human body. When the heart is healthy, the body is healthy. I will close with taking a moment to thank and recognize the seven hundred Oil-Dri supply chain teammates that serve our customers every day. As Dan mentioned earlier, our job is to deliver order two through infinity. I am lucky enough to get to represent them here today, and for that, I am grateful. With that, I will hand it over to Bruce Patsey. Thank you for your time.
Bruce Patsey: Thanks, Aaron. You and your team have done an incredible job for our Fluids Purification team. With that, I would like to talk a little bit about our business. We have three major areas that we focus on, our team does. One is in vegetable oil processing. We sell several products that are used to purify vegetable oil so that it stays stable on the shelf and in your homes. We also provide absorbents for jet fuel processing. These products help remove things like metals, surfactants, and moisture to improve the stability of the jet fuel that goes into the airplane. And lastly, where we are getting a lot of growth, as Susan had talked about, is in the biofuels, which is the renewable diesel and biodiesel market. We had a few products that we introduced a few years back that are also helping grow our business. As you look at our business, you can see that we have had really nice growth over the last five years. We had a record year last year with $92 million in sales. And this has continued as you look into the first quarter of fiscal 2025. Really on a record pace. We expect this to continue through the year and into the future. Hopefully, we will have continued growth. I want to talk a little bit about renewable diesel and SAF. These are areas that are really driving our business today. Renewable diesel is a drop-in fuel that is used for diesel trucks. One of the benefits of it is a low carbon footprint. And if you take a look at the picture on the slide, you can see that renewable diesel fuel burns much cleaner than petroleum diesel. This fuel can be put in a hundred percent. So, basically, they are taking things like vegetable oil, reused oils, and they are converting them into diesel fuel. So it is a very interesting market. There is a lot of construction, new plants that have come on board. And you can transfer this fuel over the same pipelines as you can regular diesel fuel. Sustainable aviation fuel, SAF, is kind of new. It is starting to get more and more traction. And here you can mix in fifty percent of this renewable fuel in with traditional mineral jet fuel. And this is also helping reduce carbon burn, and a lot of the airlines are very focused on this to become more environmentally friendly. Also driving this industry are government regulations that are federal programs that have been put in place. So there is a Renewable Fuel Standards Act, which is helping replace some of the fossil fuel in transportation and heating. You have the Blenders Tax Credit, again, another federal policy trying to get biomass-based diesel into the marketplace. And then lastly, the California Low Carbon Fuel Standard, which is a state program that helps promote the use of low carbon fuel, and you will see there has been a lot of construction and new plants coming into California to service this market. As I mentioned earlier, we had two products we introduced a few years back that really focused on the renewable diesel market. And they have really interesting properties to help improve the characteristics of the vegetable oil and the animal fat that is used to convert into renewable diesel. These products are really engineered to absorb trace metals, phosphorus, and other compounds that can affect them and hurt downstream processes like catalyst beds that do the actual change of the fuel to diesel. We grind these products and size them to allow for exceptional filtration. And what that means is when these plants are running, they are mixing the clay, which is a powder, into the oil and then they remove it in a filter press. And the oil has to be able to move through the filter press and the clay without a lot of resistance. And our product really helps these plants maximize their production. Understanding the needs of our customers is really paramount to how we have been growing our business. We have been investing in our supply chain, and we have done a great job with both our transfer and transload sites to get close to the customer to help service them better. We produce a very consistent and high-active absorbent. Aaron talked about all the improvements in our plant. Their team does a fantastic job in this, and over the years that I have been with Oil-Dri, which is close to forty now, we have always produced one of the most consistent absorbents in this marketplace. Creating value from technical support is an area that we really thrive at. We go into the plants and we help work with the customers to help them improve their process and reduce the amount of absorbents so that they can run a more profitable operation. We have been very successful in doing this, and this is how we get long-term relationships with our customers. And then just general customer support, our sales team is very experienced. We have great inside sales support and customer service help. Our plants and transportation team are fantastic. And our customers value this, and this is why our business is growing. As we look at another tool that will help us grow our business, it is our innovation center. This lab is located out in Vernon Hills, Illinois. And Victor Vega is just one of the many team members out there that help our business grow. They look at trying to improve our products, and at the same time, they help do technical service requests for our customers. So our customers will send us oil, we will analyze it, and we can come back with a recommendation to help them improve their process, or maybe we offer another absorbent that might be more effective in their process. Newer diesel plants are expected to come online in 2025. So really, we see our business growing in the future. A lot of these plants are going to be in what we call our blue zone or in North America, which is where we are most competitive. So we have a great opportunity to gain new business as we move forward into 2025 and 2026. Our processing team is dedicated to continuous improvement. So I have been down there at our plant several times, and you can see all the new things that are going on down there. And again, we are trying to be more efficient and make better products on a daily basis. In our Georgia facility where these products are made. Our investment in transportation has been paramount to our growth. Again, we have leased many railcars so that we can service these very large renewable customers. And we are very focused on our vegetable oil customers. This is our core of our business, and we have done a great job supplying them and giving them technical support as well. And then, again, strong technical support is how we are going to continue to grow our business and to help service our customer, which is the focus of our team. But again, I look forward to a very strong 2025 and beyond, and I am real excited about the opportunities here at Oil-Dri. With that, I would like to move over and pass it along to Chris Lamson, who is our Group Vice President, Retail and Wholesale Group. So, Chris, take it away.
Chris Lamson: Thanks, Bruce, and good morning, everybody. I think Aaron used the same term, tough act to follow. I call Bruce "Bruce Almighty." That is his internal nickname, and certainly his almighty business last year, Susan, CFO of the Year. You know your strengths. Right? So I have got videos with cute kittens. So that is what I would rely on today, but you are going to have to wait a few slides for it. For those of you that are, you know, kind of frequent flyers with our annual meeting, you might recognize the first half of the title slide. The exact same one as last year. I actually believe a year ago. The year prior to that. So a three-peat, if you will. So, you know, are we being or am I being lazy or boring here? No. Really not at all. Our focus here is really about strategic consistency and the enormous opportunity for Oil-Dri to make lightweight as mainstream in the market as well. You know, traditional heavyweight litters. But just to ensure that, you know, we do have some new material folks have alluded to, Susan and Dan talked about. The Ultra Pet acquisition last half of the presentation will be focusing on that. I did that a bit in our last earnings release too, but we could bring you up to date on the progress that we are making. Overall, we share these charts every year. This gives you a picture of our overall growth on our domestic litter business. You can see that the CAGR over the five-year period is running in double digits, which is fantastic. We feel good about it. That is really a combination of overall growth in the category in litter, the lightweight segment growth that I am going to talk about in the slide, and then Oil-Dri share growth over the long term, both in our branded and importantly in our private label business, which covers both the lightweight segment and the coarse segment within the broader litter category. The next slide, as I mentioned, shows lightweight. You see that ten percent CAGR jump up to seventeen percent. We like to think that this reflects our strategic focus. And, again, the title of really what we are talking about for the majority of the rest of my presentation. Now the next slide I would like to slow down here for a moment and spend a little bit of time on. What do you think we would prefer to do if we can only do one? Grow share, as the left side reflects, the chart on the left reflects. Or contribute to segment growth, as the chart on the right reflects. If we were on a live line, I hope I would get a resounding grow the lightweight segment, Chris. That is really what we want to do, and I am going to tell you why. We are already the unit share leader in lightweight litter between our private label business and our branded business. We have got a solid slice of the pie, as you can see on the chart on the left. That pie got bigger over the last few years. I want to quantify it for you. That twelve point seven moved to thirteen, the chart on the right. Was worth in that short period of time in retail dollars a hundred million bucks. Now what I like to call our true north in terms of a goal, all we have to do is look north. Look across the border to Canada, where the lightweight business actually represents more than, and we can only track branded, so my little caveat. But the lightweight business is greater than fifty percent of the total segment. So that thirteen percent down here looks like fifty percent up there. Clearly a long-term goal. Right? Lots of oars in the water in terms of moving in that direction. But that represents to the segment, to the lightweight segment. If you saw that shift, a billion-dollar shift in a very large category in the US. So that is really why we are focused more on the chart on the right. And thus the title of the presentation this morning. So how are we doing that? How are we focused on that in the long term? It is the exact same three pillars as we shared last year. And we will bring them to life over the next couple of slides with some examples. So first, we believe we need to bring innovation to the segment. Both. Innovation, we will talk about a couple of examples of those, and breakthrough innovation. That removes any barriers in terms of coming up to the level of heavyweight performance and consumer value. We really want to share the overall benefits of lightweight in our consumer messaging. So really more of a category or segment orientation to lightweight. Really speaking to the ease and convenience of lightweight litter. Which, as we say in our consumer material, lightens your life. And also reflects the strong performance of our product. And then lastly, partner with retailers to generate distribution, aka availability, and do that in winning channels and retailers. And we are going to give you some examples of some neat progress we have made this year as well. So from an innovation perspective, the slide really reflects closer in innovation. I will tell you we continue to focus on removing those barriers to heavyweight performance. And driving value in the segment as well. But close in last year, when we got together, we had just talked to the launch of our antibacterial litter product. Which is one of our fully lightweight products. And what is special about this item is it has got a real moat built around it. We got EPA approval. We are the only antibacterial cat litter approved by the EPA. Which means we are the only ones in a category focused on odor control that can say we kill ninety-nine point nine percent of odor-causing bacteria. Over the last year, since we were together, we have gained distribution on this item. On Amazon.com, on Chewy, we have expanded distribution in Walmart brick and mortar. And you can see that our sales velocities have taken nice increases as well. There is a term in consumer goods, love it and leave it. In terms of the new product launch. We are, we have got something special here, and we are certainly not, we are loving it, but we are certainly not leaving it. The next slide goes into really the second pillar, and there is a reason why I depicted it this way. I get a lot of questions from this group. It seems like every quarter around the efficiency of our spend. So the funnel starts awareness at the top and moves through loyalty and advocacy at the bottom, helps us detect what we do efficiency-wise. In a moment, we are going to share some of our consumer messaging on video consumer messaging. Top of the funnel, those cute kittens. But it also gets to those overall lightweight messages. In the middle, we are particularly proud of a plus five-year relationship with Kitten Lady. It is very authentic. She is an authentic lover of felines and otherwise. But she is also a huge lover of the Cats Pride brand. Our product efficacy, she is a lover of lightweight. She is also a lover of our Litter for Good social good program. Down at the bottom, you see activities more around conversion. E-com search, etcetera. What I would tell you here is not only are we optimizing on a very regular basis, the level that we are spending within that funnel, and then line items like that. We are out buying search terms, for instance, whether we are on an e-com platform or on a broader Internet search platform, we are optimizing that literally on a daily basis. I get that question a lot. Hopefully, this slide brings that to life. But now the kittens and Nick, I think, if you could go ahead and play the video.
[Video Narration]: There is an athlete in all of us, but Cat's Pride always takes home the medal. Lightweight, superior instant and long-lasting odor control, tight clump. Cat's Pride, the champion of litter. Cats sure do know how to take it easy. They will nap anytime, any place, anywhere. But, hey, cats are not the only ones who know how to take it easy. Because with Cat's Pride, handling litter box odor is a breeze. With superior instant and long-lasting ten-day odor control, and up to forty percent lighter, it does all the hard work for you. Now all you have to do is kick back and relax. Think you can handle that? Cat's Pride. Handle odor with ease.